Operator: Greetings. Welcome to Vitesse Energy Second Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to Ben Messier, Director of Investor Relations. Thank you. You may begin.
Ben Messier: Good morning, and thank you for joining. Today, we will be discussing our financial and operating results for the second quarter of 2023, which we released yesterday after market close. You can access our earnings release and presentation on our Investor Relations website, and our Form 10-Q was filed with the SEC yesterday. I'm joined here this morning with Vitesse's Chairman and CEO, Bob Gerrity; our President, Brian Cree; and CFO, Dave Macosko. Our agenda for today's call is as follows. Bob will provide opening remarks in the quarter. After Bob, Brian will give you an update on operations, and then Dave will review our Q2 2023 financial results. After the conclusion of our prepared remarks, the executive team will be available to answer questions. Before we begin, let's cover our safe harbor language. Please be advised that our remarks today, including the answers to your questions, may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties, some of which are beyond our control that could cause actual results to be materially different from the expectations contemplated by these forward-looking statements. Those risks include, among others, matters that we have described in our earnings release and periodic filings. We disclaim any obligation to update these forward-looking statements, except as may be required by applicable securities laws. During our conference call, we may discuss certain non-GAAP financial measures, including adjusted net income, adjusted EBITDA and free cash flow. Reconciliations of these measures to the closest GAAP measures can be found in the earnings release that we issued yesterday. Now I will turn the call over to our Chairman and CEO, Bob Gerrity.
Bob Gerrity: Thanks, Ben, and welcome, everyone, to our second quarter Q call. It's going to sound an awful lot like our first quarter Q call, which is what we intend to do. We are a dividend-first, return of capital company. To that, we paid a $0.50 dividend, and we're -- our Board has approved a second $0.50 dividend. So as a dividend-first company, it -- a lot of our ability to pay that dividend, protect our dividend, depends on our deal flow. And our deal flow in the second quarter was excellent. We have very high economic hurdles. And we're able to source a lot of capital deals in that second quarter, and we're very thankful about that. Remember, there is about a year plus or minus lag between CapEx and production. So first and foremost, we are underwriters. And our underwriting depends on the quality of our data. So I want to give a special shout out to our data scientists who have created and maintained our database, which we call [BLuminous]. Amanda Bailey and Adam Woodson have done a great job in creating that database, which is democratized over our entire organization. And what that means is that land, accounting, engineering, finance and even management accesses our data continuously. We want to know exactly what's happening out in the field. We're in over 6,000 wells, and we call those wells the kids in the class. So our ability to accurately underwrite our capital expenditures depends on that data. So I just want to thank you for jumping on the call. I'm now going to turn the call over to our President, Brian Cree.
Brian Cree: Thanks, Bob, and good morning, everyone. I'll be providing a very brief update on our operations. I'm going to start off with our development pipeline. As of June 30, 2023, we had 8.5 net wells that we're drilling, completing or that had been completing, but not yet producing and another 11 net wells that have been permitted for development by our operators. Capital spending through the first half of 2023 is on pace to beat the upper end of our yearly CapEx guidance as we spent $43.3 million on development CapEx and acquisitions. As Bob mentioned, we are encouraged by the amount of well proposals and near-term drilling acquisitions that have met or exceeded our hurdle rates so far this year. While average AFE costs increased less than 10% last year and during the first quarter of '23, the average AFE cost decreased in Q2 2023. So that's a good trend for us. With the rig count remaining modest in the Williston, we just have not experienced the same cost inflation as the other basins. And I know that's always a hot topic for people. That's it. I'm going to turn this over to our CFO, Dave Macosko, to review our financial highlights for the quarter.
Dave Macosko: Thanks, Brian. Good morning to everyone on the call. I'll give a quick summary of our financial performance for the second quarter of 2023. Overall, our second quarter was much more typical than what we expect the company to look like going forward since our results weren't burdened with the onetime spin-related charges that we saw to income tax expense, stock comp expense and G&A expense, and we took them in Q1. Our net income for the second quarter was $9.6 million, and adjusted net income was $11.4 million. Our adjusted EBITDA was $34.8 million, which is down from $40.1 million in Q1 as a result of lower commodity prices, primarily related to natural gas and NGLs. We generated second quarter cash flow from operations of $39 million and free cash flow of $16.1 million. We define free cash flow as cash flow from operations adjusted for working capital changes, less cash spent on drilling and completion CapEx. This free cash flow was used to pay our quarterly dividend, reduced the balance drawn on our revolving credit facility by $4 million and make $3.1 million of attractive near-term drilling acquisitions. We ended the quarter with $41 million outstanding on our credit facility, while elected commitments remained at $170 million with a borrowing base of $245 million. Our second quarter production was up 16% from the second quarter of 2022, totaling 11,359 barrels of oil equivalent per day, with oil representing 67% of our production and 94% of total revenue. Our year-to-date production was 11,441 BOE per day, again, 67% oil. Total revenue, including the effects of our realized hedges, was $53.2 million for the quarter. Lease operating expense in the second quarter increased a modest 3% compared to the first quarter of 2023 on a per BOE basis, which reflects quarterly variability related to workover activity. General and administrative expense for the second quarter of 2023 totaled $4.5 million or $4.32 per BOE, a decrease of 59% on a per-unit basis compared to the first quarter of 2023. This decrease was primarily due to lower onetime costs related to the test spin-off from Jefferies Financial Group, as I mentioned earlier. On the hedging front, we layered in additional oil swaps through Q1 2024 to take advantage of the increased oil price that occurred in April. With respect to our guidance, we are reaffirming our previously issued 2023 annual guidance. With that, I'll turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Our first question is from Chris Baker with Evercore ISI.
Chris Baker: My first question is for Bob. Just on the ops update provided with the release. A good uptick in net activity wells, 8.5 in the second quarter, and I think some good out of detail just on the 3.5 net AFEs. I was hoping you may be able to help us just tie these figures back to this year's CapEx guide. And then perhaps, Bob, as you kind of referenced earlier, any read-throughs for how we should think about 2024 production growth, just given the lag impact from that spend?
Bob Gerrity: Yes, Chris, great questions. You can't imagine how much time our finance team sits in this room and models. So your takeaway that we've had good activity in the second quarter is correct. We've seen a lot of deals that it clearly hit our hurdle or above. So we don't know at this point, Chris, if that's going to continue in the third quarter. Early indications are good. But again, we're non-ops, and we don't hit a budget, we hit an economic hurdle. So we can't really give you a -- it's fair to ask about a read-through about 2024, but we can't really give you any more bits on that, Chris.
Chris Baker: No, fair enough. I guess the other question I had was just, obviously, given the diversified operator exposure, I think you kind of mentioned this earlier around service cost deflation. But I was just curious what you guys are seeing in terms of leading-edge deflation on true services just beyond -- I think, what most have talked about is pretty visible consumable components coming down like steel, et cetera.
Bob Gerrity: Chris, we didn't see a bump that much last year. We are seeing a decrease in costs throughout the whole complex, steel spreads and the -- and the drilling costs. So I can't really say it's a large trend. It's trending positively. I think over the course of time, we're strong believers in that capital will become more efficient, and we'll get similar production results with less money. So I think it's trending in that direction. I think part of that is -- is technology with fracs. Part of that is just more efficiency. The infrastructure of the Bakken is pretty well built out. So no huge deflation trend, but I think things are going in the right direction.
Chris Baker: That's great. And if I could just sneak 1 more in. Can you just maybe talk about any -- your sort of latest thoughts around larger-scale acquisition front. It sounds like the smaller-scale stuff is trending in a positive direction, which is great. But just in terms of the larger-scale stuff, if there's any update, that would be great.
Bob Gerrity: Yes, it's fair, Chris. We bid on a number of larger transactions, $100 million to $300 million in the second quarter. We were not close. So we look at everything. Take a look at our balance sheet, and you can see the capacity that we have to make a good size, accretive acquisition. So we're looking. We'd love to do it. We haven't won 1 yet, Chris, but we're trying. Thanks, Chris.
Operator: Our next question is from Lloyd Byrne with Jefferies.
Lloyd Byrne: Just a couple of questions. I guess, on the back of Chris' question. Can you speak to capital efficiency you're seeing in the Bakken. And just not deflation, but maybe a cost per foot basis, whether that's improving with technology. And then I have...
Bob Gerrity: Yes, I'm going to have...
Lloyd Byrne: A quick second question.
Bob Gerrity: Yes, you bet, Lloyd. Great question. Thanks. It's good to talk to you as well. So we have seen more 3-mile laterals and more refracs. We think that that is what the field is going to be in the future. It's upticked a little bit more in the second quarter than trend. But Brian Cree, I'm going to ask to elaborate on this.
Brian Cree: Yes, Lloyd. So as Bob mentioned, yes, we've seen that increase in both 3-mile laterals and refracs between what we saw in the first quarter and what we saw in the second quarter. And that trend has continued from what we started to see at the latter part of 2022. So again, that capital efficiency is what we think is going to drive future results. And we've been doing this since 2014, and the advancement of technology especially in the fracs and now in the refracs is something that has really changed our asset over time. And we expect technology to continue to improve and that that in capital efficiency will continue to improve.
Bob Gerrity: Yes. Just to restate that refracs, we're strong believers in the extraordinary economics around them. The 3-mile laterals are pretty new, and we don't have enough information to say that that's going to move the needle very much. So thanks for your question, Lloyd. Follow-up?
Lloyd Byrne: Great. Yes. Maybe someone could just comment on kind of your deferred taxes and how you see that progressing going forward. I know a lot of it was tied to the spin, but just kind of where you are there.
Bob Gerrity: I'm going to ask Dave Macosko to answer that for you, Lloyd.
Dave Macosko: Yes, what -- so we took the big charge in the first quarter for the -- from the change in corporate structure. And so going forward, we obviously flushed that big charge through income tax expense. But going forward, we're looking at a tax rate somewhere in the 17% to 20% of our current net income as we go forward.
Operator: Our next question is from Donovan Schafer with Northland Capital Markets.
Donovan Schafer: So...
Bob Gerrity: Donovan, I need to interrupt you. Congratulations. Donovan has -- is the father of young Sebastian, who I understand, his nickname is Sabe. So -- it...
Donovan Schafer: It's Sabi. Sabi.
Bob Gerrity: Sab? Okay. Well, congratulations, Donovan, and thanks for waking up for the call. So go for it.
Donovan Schafer: Yes. Yes. Thank you. Yes, I'm going to have to go do bottle service shortly after cleaning and feeding. So thank you. Thank you very much. Yes. So congratulations on the quarter. I want to start with kind of, I guess, like a compound question where -- so the first 1 is, you're trending to actually be above the high end of guidance on CapEx. And in a lot of context, like say, you are building a factory or something, being above guidance on CapEx is often seen negatively. But it sounds like in this case, you're saying, well, this isn't being driven by inflation. And so it's actually a reflection of opportunities for us where we're seeing more things to pull the trigger on. So it's -- are you actually talking about this as a positive thing? I would just want to kind of like make sure I'm understanding that right. Is that a fair characterization, Brian?
Bob Gerrity: This is Bob. I'll start with it, and I'll take it -- let Brian have -- look, the test is a factory. We have built this machine to convert undeveloped acreage and drilling opportunities into cash. At the end of the day, we returned that cash to our equity owners, of whom management is a large chunk of. We get paid by that dividend. So the factory is a perfect example. So the widgets that we buy have to be very economic. So when you see our CapEx going up, it's because we're seeing things that really makes the factory hum. So your conclusion that if our CapEx increases is a good thing is the right conclusion. It's exactly the way we see it. We don't want to just buy stuff and ramp stuff through there. We could buy a lot more than we're doing. But when you see CapEx pop for us, that's a good thing. We are at the upper end of our range. But again, we are not changing the guidance, but deal flow is good.
Donovan Schafer: So then this is kind of the related part of that, is -- I think Chris, the first person asking questions asked a question about like 2024 growth. And I understand, as a non-op, you can like kind of put the CapEx out there, and sometimes I think of it as kind of laying the chips on the table. But you don't have necessarily control over the exact timing of when things will land there. So I appreciate that there's a challenge, saying -- coming up with a number, first, say, 2024 growth. But given that you are spending at this kind of a higher CapEx level, so like you're seeing the opportunities. And let's just sort of assume things hold steady. I mean, none of us has a crystal ball, but let's say oil stays in the kind of $80-ish, plus or minus $5 or so. In that kind of a context or an environment with this kind of CapEx spending, when do you feel it would be like appropriate for us to kind of like bug you on growth or, say -- because you guys are -- your newly public. And then you've got the first quarter and the second quarter. So I realize it's pretty myopic and shortsighted, and I know you guys are -- these results can be lumpy. So it's not really fair to say, well, should we grow next quarter? And should we grow the next quarter? But there is a point where you have to say, "Well, it's been this many quarters. When should we bug you about it?" So why aren't we seeing something?
Bob Gerrity: It's very fair. And I'm going to ask Brian Cree to elaborate on this. But look, everything we do when we wake up in the morning is to protect that dividend. So CapEx is very important if it's economic. So Brian, do you want to elaborate on that?
Brian Cree: Yes. Let me just -- so Donovan, I think your first conclusion was that CapEx is good. Bob handled that, and I think that is absolutely the way that we look at it. But you also stated that CapEx is lumpy and the timing of production is lumpy. And so to really try to get to your question of when you can start bugging us, I would say, look, at the end of the third quarter, we have another good CapEx quarter, then we'll start looking at what that's going to mean towards 2024. So let us get through another quarter. Let's see how CapEx looks and kind of what the trend looks like for the fourth quarter. And then we'll likely comment on production for 2024.
Donovan Schafer: Okay. That's really helpful. That's actually very, very helpful. Okay. And then the last -- my last question, back to this idea of kind of everything you guys do is around protecting the dividend. And I know the initial kind of going public and the spinout from Jefferies, it was really -- given it being kind of a new story for some investors and everything, it was really nice to have, I think you had 50% of oil production hedged through 2024. I might not have the exact number there, but broadly speaking, the hedge position was pretty healthy through the end of 2024. And so you kind of look at the numbers and pretty much say, "You know what, regardless of what commodity prices do, we can feel pretty darn confident the dividend is protected through the end of '24." What is the -- do you have sort of decided on sort of a philosophical approach going forward, looking to '25, '26? Will you -- do you plan to just kind of continue hedging at about 50% if the opportunities present themselves? So if you are able to -- where prices are, if you can lock in a hedge out in '24 -- or sorry, '25, '26 that helps secure that dividend? Do you plan to take advantage of all that hedging? Or just how are you thinking about hedging when we get past 2024?
Brian Cree: So Donovan, this is Brian. And great question. Clearly, hedging is important to us to protect the dividend. It's a -- we're a dividend-paying company, capital return company. So we look for that hedging to help support that. At these prices -- first, let me just talk about where we stand right now. We're not quite 50% hedged all the way through 2024. We have more hedging in place in 2023 than in 2024. A lot of that has to do with the [backwardation] in the market. But we constantly look at our hedging. And as we get closer to 2025 and 2026, we absolutely expect to continue putting hedges in place at prices that we find attractive. And you'll see that in our 10-Q, we talked about the exact amount of hedges and where the prices are. We're hedged at around $78 for the rest of 2023 and above $76 in 2024. So you can kind of see where we like to lock in prices, and I would say that that trend is going to continue. Those are -- we can get -- those prices are above. We like to go ahead and -- and utilize that instrument to help protect our dividend.
Donovan Schafer: Okay. That makes sense. Okay. Very helpful. I'll take the -- I'll follow up offline with any other questions.
Bob Gerrity: Great. Congratulations again. We're really happy for you, Donovan.
Operator: Our next question is from Michael Schwartz with Jefferies.
Unidentified Analyst: I had one question on the 3-mile laterals I wanted to ask. So of the 97 gross AFE you got, how many have 3-mile laterals? And what operators are adopting this approach? And then what is your average lateral length for your production in the Bakken? And when do you really expect to see the impact of these 3-milers across the board and adopted more broadly in the basin?
Brian Cree: So Michael, this is Brian. I'll give you some quick numbers on that. During the second quarter, the number of 3-mile AFEs that we got in were more than double the first quarter. Again, these things are lumpy. We're not sure that that will continue, but it seems like that is the trend that we are seeing from operators. Kraken, Cord, even Continental. Several of these operators are moving to try to do as many 3-mile laterals as they can at this point in time. And so we've seen that increase, like I said, more than double from what we saw in the first quarter. But it's still -- we still see more 2-mile laterals than we see a 3-mile lateral.
Unidentified Analyst: Got you. That's very helpful.
Bob Gerrity: Thanks, Michael.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Bob for closing remarks.
Bob Gerrity: I want to thank everybody for being on the call, and we look forward to talking again in 3 months. If you have any questions, please contact Ben. So thanks, everybody.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.